Operator: Ladies and gentlemen, good afternoon. My name is Abby and I will be your conference operator today. At this time, I would like to welcome everyone to the Altus Group First Quarter 2023 Results Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions].  Thank you. And Ms. Camilla Bartosiewicz. You may begin your conference.
Camilla Bartosiewicz : Thank you. Good afternoon, everyone and welcome to Altus Group's first quarter conference calls and webcast for the period ended March 31, 2023. The news release announcing our results was issued after market closed this afternoon and it's posted on our website and SEDAR profile, along with our MD&A and financial statements. A presentation to accompany our prepared remarks has also been posted to our website under the investor relations section.  Joining us today, are CEO Jim Hannon; and our new CFO, Pawan Chhabra. We’ll start with some prepared remarks, and then we'll move right into the Q&A session. If we miss any questions, please contact me directly by email. Some of our remarks on this call may contain forward-looking information. Forward-looking information is based on assumptions and therefore are subject to risks and uncertainties that could cause actual results to differ materially from those projected. These assumptions, risks and uncertainties are detailed and our forward-looking statements disclaimer in today's materials.  Please be reminded that auto script uses certain non-GAAP financial measures, non-GAAP ratios, total segments measures capital management measures and supplementary and other financial measures as defined in National Instruments 52-112. We believe that these measures may assist investors in assessing an investment in our shares as they provide additional insight into our performance. Readers are cautioned that they are not defined performance measures and do not have any standardized meaning under IFRS and may differ from similar computations as reported by other similar entities and accordingly may not be comparable to financial measures as reported by those entities.  These measures should not be considered in isolation or as a substitute for financial measures prepared in accordance with IFRS.  An explanation of these measures are detailed in today's IR materials, including the news release, presentation, MD& and other filings with the Canadian securities regulators.  I would also like to point out that unless otherwise specified, all the growth rates we'll be referencing on this call are on a constant currency basis over the same period in 2022.  Okay, over to you, Pawan.
Pawan Chhabra : Thank you, Camilla. And good evening, everyone on the call. We had a positive start to the year continuing our multi-quarter trend of top-line growth and margin expansion. We are now on eight consecutive quarters of double-digit revenue growth and three consecutive quarters of delivering margin expansion at the consolidated level. Beginning with our consolidated first quarter results. Now we have foreign exchange rates working in our favor, as Camilla pointed out, unless specified the growth rates I will be referencing are on a constant currency basis.  Revenues were up 11% supported by double-digit growth at both analytics and property tax. Adjusted EBITDA was up was up 43% driving a nice 330 basis point improvement in margins, which deadhead 14%. Profit was negative $2.4 million, which is $9 million better than last year. As a reminder, Q1, 2022 included an $8.4 million restructuring charge. Q1, 2023 reflects higher interest rates on our bank credit facilities. We also incurred higher year-over-year expenditures related to the implementation of the new ERP and CRM systems.  We proud say that our ERP went live in Q1. I'd like to congratulate the team for their hard work and getting us there. For the planned phasing out of project this year and deployment continues through Q2. Adjusted EPS came in at $0.33, and free cash flow was negative $34.4 million. Free cash flow in the quarter reflects the impact of our annual bonus payouts, payments related towards 2022 global restructuring program and increased working capital balances due to employees abated delayed billings as we cut over to the new ERP system. As expected, we're seeing an improvement in April in collections and working capital operations.  Turning to our business segment performance, starting with Analytics. As you'll see in our results in momentum continued in Analytics. Revenue was up 12% and notably, recruiting revenue was up 90%. All Analytics revenue is now organic. To offer more color, revenue growth continues to be driven by strong recurring revenue performance, which is where our go-to-market efforts and investments are focused. This includes growth across key revenue streams in software, valuation management solutions, and in data solutions. A high percentage of our recurring revenue growth continues to be driven by customer expansion, and supported by the ongoing transition to cloud subscriptions and steady new customer additions.  Adjusted EBITDA continues to grow with higher revenues and improved operating leverage. Overall, we're really pleased with the sustain momentum in recurring revenue growth. At $85.3 million in the quarter recurring revenues represent approximately 90% of total revenues. This provides us with a resilient revenue base. The 740-basis point adjusted even a margin expansion in the quarter reflects revenue growth and improvements in our operating model. Those include focused go-to-market activities, cross-border salary leverage, streamline processes and better resource management. We remain confident and our plans to expand margins in 2023.  Turning the Property Tax. Revenue growth was solid growing at 13%. This reflects double-digit growth in Canada and the UK with steady performance in the U.S. In the UK, our pipeline of cases to be settled in the upcoming quarters has grown and remains robust. We are now officially on the new 2023 rating list that commenced on April 1, and through the investments we've been making, we've remained well positioned for the new cycle with a much better backlog.  Adjusted EBITDA benefited from the revenue growth and our margins are holding steady for our expectations. And finally, Appraisal and Development Advisory performed steadily in the quarter driven by Development Advisory Team in the APAC region.  Turning to our balance sheet, we finished the quarter with a cash position of $42.9 million and with $350.1 million in bank debt. The funded debt to EBITDA leverage ratio as defined in our credit agreement was 2.21 times, well below our limit of 4.5 times. Applying our cash and net debt to adjusted EBITDA leverage ratio was 2.13 times representing a very healthy balance sheet.  Regarding our capital allocation priorities, we'll continue to reinvest in the business to scale effectively, opportunistically pay down debt and maintain financial flexibility should attractive acquisition opportunities materialize.  With that, I'll now turn it over to Jim.
Jim Hannon : Thanks, Pawan. As we're sitting in Toronto tonight, I want to start with good luck to the Maple Leafs. As many of you know, I am hesitant to say I live in Florida. And my colleagues around me said I was not allowed to buy a ticket to the game, struck me as odd, but okay. They didn't know I was going to say that. All right, let's get to it.  I'd like to start by thanking my colleagues for productive start to the year. Their efforts and commitment to our mission are driving the growth of the company. Our ongoing transition from on-premise software to ARGUS Cloud is tracking the plan. We ended the quarter with 67% of our ARGUS Enterprise users contracted on the cloud, and expect to finish the year with a large majority on cloud.  We growing the number of users on our platform and now have over 10 million valuation models in our environment, representing an estimated 960,000 unique properties, modeled on ARGUS globally. As we expand our advanced analytics capabilities, the large volume of models in ARGUS Cloud will provide us with exceptional asset-level intelligence that we can leverage to enhance the value we bring to our clients.  Turning to new bookings. And as noted in the name, this metric only captures new business. This not include renewals or assets added to current portfolios which we service. Although our pace of new bookings growth slowed in Q1, we continue to grow from a larger base of clients and with low churn.  The majority of our quarterly bookings occur in the third month of the quarter. And the banking sector made headlines in early March. This macroeconomic news slowed down the decision making of some of our larger clients. On balance, new bookings benefited from continued addition to portfolios in our VMS business and strong ARGUS Enterprise bookings performance throughout the quarter. Our software pipeline continues to grow in-line with our historical base. We remain optimistic. At the same time, we continue to keep an eye on macroeconomic conditions and will throttle our investments accordingly.  Last week, we held our Altus Connect Client Conference, the first since the start of the pandemic. The Altus Connect Conference had a terrific turnout. The attendance of many senior professionals validates the growing strategic importance of our offers across organizations and the Altus-trusted relationships in the market.  The conference featured panels on a variety of topics and included a solutions cafe, where we held product demos, including the new Altus Market Insights offer, which is powered by the Altus Performance platform. Overall, it was great to connect with our clients on important topics affecting commercial real estate and to foster dialogue about the topics most relevant to our industry.  Actionable intelligence has a table stake requirements today. Intelligence and information are key to being nimble and responsive to changing market dynamics, and investor and regulatory requirements. We deliver the combination of data technology and expertise to our clients as offers. This is intelligence as a service. We left our Altus Connect Conference with renewed conviction in our long term strategy.  At the conference, clients and market experts from within and from outside office discussed at length the challenges and longer term opportunities created by the current macroenvironment. A consistent message from the experts is the significant need for transparency and actionable intelligence. Our mission to help our clients drive portfolio alpha and manage data has never been more relevant. We continue to successfully navigate this dynamic business environment to position ourselves strategically for the longer term opportunities.  We know that volatility in the market drives demand for our Advanced Analytics offers. Our business model is resilient and provides us with stability across various economic cycles. To reiterate, one, we have a diversified revenue base of offers by geography and across various customer segments.  Two, we have strong recurring revenue base in Analytics, and highly reoccurring and repeatable client engagement at CRE Consulting. And finally, we have expense levers that provide us with the flexibility to respond to macroeconomic conditions. Our restructuring activities in FY'22 have provided us with the ability to invest for future growth while continuing to expand margins.  As we stated in our February business outlook, we're well positioned to grow our consolidated revenue and adjustment EBITDA for full year 2023. We have multiple paths to deliver on our plans. And I remain confident in our ability to reach our goals.  Okay, let's open the line up for questions. Operator?
Operator: Thank you. [Operator Instructions] And we will take our first question from Yuri Lynk with Canaccord Genuity. Your line is open. 
Yuri Lynk : Hey, Good evening, everyone.
Jim Hannon : Hey, Yuri. 
Yuri Lynk : Jim, I'd love a bit more color on the macro and what you saw on the quarter. I'm wondering if the banking issues we saw in terms of the impact on on purchasing decisions and bookings for you. I mean, do you feel that those issues served as a distraction? Or was it more -- causing a more fundamental slowdown due to say tighter lending conditions and CRE and stuff like that? Just a bit more color?
Jim Hannon : Sure, great question, Yuri. I want to start that on that, I'm not an economist. But we listened closely to our clients last week, as I know you did as well. And we heard consistently across the board that the news in early March kind of put everybody into a pause while they go, wait, what just happened? But the fundamentals of CRE, especially at the various segment levels, not as you know, now all CRE segments are the same. And the fundamentals are strong, the cash flows are strong, which is why this is such an attractive asset class, and will always remain an attractive asset class.  So, we're watching it carefully, we'll react right now. We're hearing mostly, it's a pause. We're watching the rise of private debt funds. So the balance between the use of debt and equity, and then the implication that we'll have on pricing may adjust, but our clients have a significant amount of dry powder on the sidelines. And we'll -- they are engaging with us. As soon as they got announced, they engage with us immediately to go deeper on valuations, which is good for us.  And they immediately wanted the data on what's going on, which is in the market, and what are we seeing across hundreds of thousands of properties. And it's great to be in that position with them. So we see it as a pause until the fundamentals change. Interest rates obviously, tweaked up which is either -- which will be reflected in different pricing of the assets. But we don't trade on the price of the assets. And we are -- our revenue is not a function of transaction volume.
Pawan Chhabra : And just maybe add to that, what was clear to me coming out of that Connect meeting was our clients are looking for a trusted partner to help them navigate through the current and upcoming volatility, which I think will be a positive for us in regards to being able to help people manage alpha and beta.
Yuri Lynk : Yeah. I mean --- I was talking to a lot of the same people you were, and I mean, sometimes you walk away and you feel like they might be -- because of all of this uncertainty, heavier users have of your services. But that's not what we saw in the first quarter. But that was obviously at the onset.  So I guess just a follow up to that. I mean, given what you're seeing in your bookings, do you have any expectations of throttling back investments at this point?
Jim Hannon : Yeah. So let me comment on what we saw in Q1. We saw a rise in the number of assets that we service in VMS. And we saw a rise in the number of ARGUS users in total, as well as ARGUS Cloud users. So we did see growth in Q1. It's the bookings number at the end of March, where we're saying, well, let's watch and see what impact that will really have on maybe 2024, if any.  But when we talk about multiple paths, about multiple paths to our internal cash flow targets. And that's where we remain optimistic. And yes, it is absolutely provide -- it was a bookings pause. It could absolutely lead to higher volumes for us, not from number of assets, but from reliance on our Analytics and data. And we are certainly getting more and more engaged and being asked to engage on debt valuation. So whether it's from deploying that capital, or whether it's from looking at implications of already underwritten assets. So it actually we think is going to open up several market segments for us.  To your point on bookings and then pulling back or throttling investments. One the ARGUS bookings remained strong throughout the quarter. And with the same profile of many of the bookings come in later in the quarter. So it's just -- ARGUS is just a very privileged position for us to be in.  As far as throttling the investments, as you know, we had more than 1,200 bps margin expansion in Q4 year-over-year. That gave us the capacity to add or that gave us the financial ability to add capacity in '23, because as commented on throughout FY'22, every metric we had told us to add go-to-market capacity, particularly LTV to CAC ratios. And we weren't doing it until the model proved out.  We were also holding back in FY'22, because of the volatility in the market. And the geopolitical and the inflation aspects of last year. So we held back then. The message that we would be increasing that significantly this year, which is while we talked -- while we talked about 300 bps expansion when we think about how we allocate across our portfolio. Obviously, the restructuring we did last year, the operating efficiency from last year, the pricing left we get from the move to cloud, gives us a lot of flexibility in our EBITDA. So that's what we're talking about when we say have good throttle investments.  So we'll -- we won't go as fast in the sales capacity. But we will still add some because we're investing for 2024. 
Yuri Lynk : Okay, great. I'll hop off. Thanks, guys.
Camilla Bartosiewicz : Thanks, Yuri. 
Operator: And we'll take our next question from Stephen MacLeod with BMO. Your line is open.
Stephen MacLeod : Great, thank you. Good evening, everyone. Just wanted to follow up a little bit on the new bookings. Can you just talk about how sort of that was trending up until March, because it sounds as though as per your press release, and headlines just sort of became more or noisy in the beginning of March? And then I'm just wondering if there's been any change that you can report on a quarter-to-date basis?
Jim Hannon : So, Steve, we did our Q4 earnings call February 24, somewhere around there. And on there, I commented that our Q1 pipeline, and our coverage ratios were stronger. They were, month one month two, we're tracking along at a nice clip. It's really just reacting to the March headlines and things the market takes a deep breath and goes what just happened. So we will pace ourselves accordingly with what we see in the market.  Again, going back to last year, if we run relatively flat in new bookings, that gets us to our plan that we're -- that we have in place for the business.  As far as quarter-to-date, I would just that's typically not something we jump into right now. What we do track is, I had a comment in there about our pipeline builds. So what we track is, at specifically at an ARGUS Enterprise level, the number of leads that go into our pipeline per week, we were expecting to see that trail down in March and April, and it is almost dead on our weekly trend for the last two years.
Pawan Chhabra : Yeah, Stephen just not -- nothing [indiscernible] two-thirds of our sales typically happen in month three of a quarter. And so given the timing of the news, and obviously had an overweight impact in regards to the finish. And so just adding a little bit of color. Hope that works
Stephen MacLeod : Okay, yeah. Thanks a lot. That is helpful. And then and then I guess, in terms of the new bookings, do you -- is that coming from existing or new customers that has slowed on these. I guess, is it really -- or is it a mix of both?
Jim Hannon : It's a mix of both. We still put -- I'm looking at the team here a couple of hundred new logos. So not as many new logo like we've been running into that 250 range. But we are -- we added over 200 in the quarter. So it's more at the scale end of the market. What we really saw -- what could be the large funds are the first ones to reach out and engage us. But when the banking news hit the beginning of March, there was those large funds those deep trusted relationships where they immediately called us in from an analytical perspective. 
Stephen MacLeod : Yeah, I see. I see. And then in terms of clarify, one thing you said there, Jim, could you say that if you run flat in new bookings, it'll still get you on plan to where you want to be for this year?
Jim Hannon : Right, we were saying that all through last year is that we didn't need like -- if the team ran basically the same. So we -- obviously, Steve, we need to make up the March piece of it. And that's where we were not seeing opportunities fall out of the pipe for the year. We're seeing a push to the second half. And part of that some could come together right in second quarter. I think our sales team is being conservative say, well, let's put it in the second half. And that's good for us because we plan our investments accordingly.
Stephen MacLeod : Yeah. Okay. That makes sense. Okay, great. Thanks, guys. Appreciate it. 
Jim Hannon : Thank you. 
Operator: And we'll take our next question from Christian Sgro with Eight Capital. Your line is open.
Christian Sgro : Hi, good evening, and thanks for taking my questions. The first one, I wanted to ask as a follow on of Steve's question, and maybe just can aske in other words, do you get the sense in conversations with customers that in March, they were frozen up maybe pushing out the decision called to June, the third month of this next quarter? Or do you think maybe they're getting more thoughtful about which offers or solutions are going to pick up? And if they want to subscribe to the same sorts of solutions? Is it a push or would you say, are more of like a halt at this point?
Jim Hannon : Right. Thanks, Christian. Again, I'm going to go back to some of the stuff that you heard from the stage last week from clients, not from me. Our clients are in the business of deploying capital. So they don't love uncertainty. So they got a Fed decision yesterday. They get -- they can get visibility across the broader banking sector. I think there'll be keeping a close eye on bank balance sheets and the implications there.  So do we think the transactions are gone forever? Absolutely not. It's just -- it feels more like a pause to us right now. But it's not -- it's not an indefinite positive. Back to the ARGUS Enterprise bookings continue to be strong. So that some of that can be attributed to ARGUS is quite a powerful tool, not just for acquisitions or dispositions, but for also analyzing the performance of an asset.  So as our clients are evaluating the current pricing that's out in the market, they're going to be using ARGUS to do that. They're going to be using the new tools that we have insights, Altus Market insights, to do that. And eventually, they're going to deploy capital pricing. As I pricing capital structure might change with interest rates, but there's still an economic formula that makes commercial real estate attractive.
Pawan Chhabra : Yeah, Christian, and just in my conversations with the sales team as well, too I mean, there was clearly prudently measured response from our clients in March after the headlines. But the opportunities, the key opportunities that we were keeping an eye on are still in play. So it's really more of just a slowdown.
Christian Sgro : Got it. And then on the cloud adoption rates that trended up in the quarter, I know, that's a big part of the narrative and getting customers to move on to the cloud and adopt new cloud-based products. So my question is, have those conversations changed at all? Would you say the pieces are still in place for all your customers to continue migrating to the year? And how do you see that all trending?
Jim Hannon : We know our clients are watching our cloud growth. We know that our clients listen to these calls. So we're really proud to report that $10 million models number and that is unbelievably powerful, especially at this moment in time. A 960,000 unique properties. That is quite the view we have. Not that we can take -- we don't take clients taken and put it out there. But it does give us data derivative view that does -- for the clients that give us those derivative rights, which is significant amount of them.  And we're seeing more opt in to giving us those rights because they want the analytics that comes from that type of massive, massive data. And they also know, hundreds of millions of dollars over the last two years to be able to turn that data into insights.
Christian Sgro : Got it. Thanks for all the color, Jim. I'll pass the line. Thank you. 
Jim Hannon : Thank you.
Operator: And we will take our next question from Richard Tse of National Bank Financial. Your line is open.
James Burns: This is James Burns sitting in for Richard. I was just wondering, do you expect to still be on track to drive 300 basis point improvement in Altus Analytics margins by year-end, despite the heightened investments?
Jim Hannon : Yeah, as you can see, we were 710 bps higher in Q1. So you're seeing the restructuring activities, the operating model changes, the pricing changes, the retirement of old platforms, the platform economics we've been talking about. You can see that in Q1. And so that coming off of that pace, it gives us a lot of room for investment, even in this macroenvironment to invest for growth and still get the 300 bps. Absolutely.
James Burns: And just a follow up on that. So do you think that the like, should we expect the margins really tick up in the back half of the year? Because I think the margins is about 21.4% this quarter, so you need a significant uptick for the remaining three quarters?
Jim Hannon : Absolutely. You got to remember when thinking about the seasonality of the business, there's millions of dollars of employment taxes that kick in and Q1 that most of them hit their thresholds mid-Q2, right. So if you look at the Analytics numbers, the Analytics numbers, $5 million is a significant amount. While that's not all Analytics, the majority of that's analytics. And that's a significant number of bps in the quarters.
Pawan Chhabra : Yeah, I mean, we always plan for lower margins in Q1, just given what Jim said. This was in-line with our expectations.
Jim Hannon : Actually, the margin was higher, because we did throttle a bit.
James Burns: Okay, great. Thanks. I'll pass the line.
Jim Hannon : Thank you, James.
Operator: We will take our next question from Gavin Fairweather with Cormark. Your line is open.
Gavin Fairweather : Hey there. Good afternoon. You touched in your prepared remarks on increased demand from lenders and credit funds given the environment. So maybe we can just provide a bit more color on that? And also discuss the finance octave product and kind of where we're at on bringing that to North American and igniting that cross sell?
Pawan Chhabra : Sure. Thanks, Gavin. The increased demand was, as you can imagine, many of our clients are on both the equity and debt side. The majority of our revenues come from the equity investors. So in this environment where you're sitting with, it's across the large investors, it's also across the bank, the smaller banks, where 60% to 70% of commercial underwriting happens. Though those are -- that's all greenfields for us. Those are not segments we typically get involved with.  Some of our larger clients are working with those smaller banks. And this is -- they need valuation of what was happening with their portfolios, or they need visibility now, because they need to make sure that they're maintaining their capital requirements and their balance sheets. So it's been a fascinating few weeks to see the inbound engagement for us and watching our teams react.  It's a different level of valuation. It's not the same level of precision that you're going to do for LP reporting in a private fund, let's say. Right now, they're more in a triage mode, and we're in a position to help them.
Gavin Fairweather : That's great. And then just for my follow up, hoping you could touch on R&D kind of resource allocation. Obviously, a lot of work went into the new platform. You've also moved towards no longer supporting some of the on-prem version. So I guess I'm curious how much -- how many of your people are now kind of focused on functional innovation versus kind of the performance platform and older versions, and how has that changed over the past six or 12 months?
Pawan Chhabra : Right. In, in September, and October, we -- that's where in some of our restructuring charges, there was restructuring of development skill sets, that didn't apply to the cloud. So in rough terms, we look at as our historical R&D spend. If you think of the on prem legacy platforms versus the cloud, we were probably -- we were roughly 80% of our R&D Spend was going into maintenance or current engineering, and about 15% to 20% was going into innovation. It's a next gen. We've pretty much flip that on its head with that restructuring. And then the other move we made was we had a build, operate and transfer type contracts with a firm in India. And we exercise that option late last year to bring those folks in house. Most of them have been with us. They're associated with us for quite a while. Very talented team. And we wanted to give them career pathing opportunities with us and build out our presence there. So they came in in-house, gave us very current market skills. And it also gave us some cross-border salary arbitrage.
Gavin Fairweather : That's helpful. Thanks so much. 
Camilla Bartosiewicz : Thanks, Gavin.
Operator: We'll take our next question from Scott Fletcher of CIBC. Your line is open.
Scott Fletcher : Good evening and thanks. Thanks, for taking question. Wanted to ask follow up, some of comment, Jim, you made about the bookings sort of impact in 2024. Can you just remind us how -- what the typical time is for both the recurring and non-recurring bookings to end up starting before when they start to hit the revenue lines?
Pawan Chhabra : Yes, not sure. The typical time is one to two quarters, when the bookings flow through. My 2024 comment was, we do need to add sales capacity because we see this as a short term blip, the macro market conditions. And my guess it is 30 years experience, I was trying to round that down, but I can't -- is that you're looking at eight to 12 months to get our sales person up to fully productive. So we do need to be thinking about our growth next year, especially since we think this is a short cycle of the pause here. So we need to invest for that.  And again, to James's question earlier, we have plenty of capacity in the Analytics P&L to support that through all sorts of market environments right now. 
Scott Fletcher : Okay, that --
Pawan Chhabra : We would going -- they're going a bit slower that we wrote into our plan. But we are adding capacity there. And you can think of it as it's more of a reallocation or determining its P&L geography, so we reallocated resources where we had efficiencies to put it towards capacity. But where -- the 300 bps we're very comfortable with, including adding that capacity for '24.
Scott Fletcher : Okay, thanks. I do want to ask just another question on the working capital changes in the quarter. It sounds like the ERP system led to some billing delays. Maybe if you can just help us understand what we should expect for the cadence of working capital for the rest of the year.
Camilla Bartosiewicz : Yeah, now. I'll take that question. We anticipated some billing delays associated with our transfer over to the new system. So it was in-line with our expectations. We made a hard cut over. So if any transformation goes or change over goes there is a timing period where leads to delays. And as we're looking at April relative to where we were in Q1, we're back on pace in terms of working capital operation. So it was just really more of a transition over that caused them a temporary delay.
Scott Fletcher : So that was [multiple speakers] reversal. Like all things considered?
Jim Hannon : Yeah. 
Camilla Bartosiewicz : Yeah, we're not really doing it as an event here.
Jim Hannon : And Scott, as has been pointed out, we do pay bonuses in Q1 also. 
Scott Fletcher : Thanks guys. 
Jim Hannon : So we have that optic in there as well.
Camilla Bartosiewicz : Yeah, as I mentioned, we have the bonus payment, we also had the restructuring program as well, that we paid out in Q1. So that it wasn't just necessarily are related to the anticipated delays. And so there's always things that happen in Q1.
Scott Fletcher : Okay, thanks for color.
Operator: [Operator Instructions] And with no further questions at this time -- I do apologize. We did just get a question from John Shuter with RBC. Your line is open. 
John Shuter: Hi, it's John on Paul Treiber. Sorry about the last minute question here. I'm curious about the, in theory consulting and specifically on the UK property tax business. Can you set expectations for what's the reasonable outlook for property tax revenue in Q2? Should we be expecting a flat Q1 or a typical season rise outside of the UK billing cycle that we should expect? Thank you. 
Jim Hannon : So the Q2 numbers. So our Q2 is normally a spike in the UK. Our UK team -- let me just start with, was absolutely crushed it in Q1, our UK tax team. So they were focused on working down the last of the 2017 valuation list. So as we booked those we -- when you book in the UK, and you win an appeal, you went back to the start date.  So we over emphasized our efforts there throughout Q1, because that drives backlog that has seven-year revenue implications. So it's very, very nutrient rich backlog that we picked up. In Q2, you shift to the reset. So they'll have that natural decline of the annuity --- so that we're going in with a stronger backlog than we originally anticipated. 
John Shuter: That's helpful. Thanks. 
Operator: [Operator Instructions] And with no further questions at this time, I will turn the call back to Mr. Jim Hannon for closing remarks.
Jim Hannon : Great. Thanks, everybody. Thanks again for joining the call this evening. I'm guessing everyone's going to be wrapping up and heading out to the game at this point. So again, my team here saying go Leafs go. As always, please don't hesitate to get in touch with us through Camilla or if you have any other follow up questions. Thank you for your time.
Operator: And ladies and gentlemen, this concludes today's conference call. And we thank you for your participation. You may now disconnect.